Operator: Ladies and gentlemen, thank you for standing by and welcome to the Tessera Technologies Second Quarter 2014 Financial Results. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions). Thank you. I would now like to turn the call over to John Markley of Investor Relations. You may begin.
John Markley: Thank you, Victoria. Good afternoon and welcome to the Tessera second quarter 2014 financial results conference call. This call is also being webcast live over the Internet. Please be advised that, during the course of this conference call, management will make forward-looking statements regarding future events, including the future financial performance of the company. These forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from those projected. You are cautioned not to place undue reliance on forward-looking statements, which speaks only to the date of this call. More information about factors that may cause results to differ from the projections made in these forward-looking statements can be found in Tessera's filings with the Securities and Exchange Commission including its Annual Report on Form 10-K for the year ended December 31, 2013 and Form 10-Q for the quarter ended March 31, 2014 specially in the sections titled Risk Factors. The company disclaims any obligation to publicly update or revise any forward-looking statements to reflect events or circumstances that occur after this call. During today’s call management may discuss certain non-GAAP financial measures for comparison purposes only. For a definition of non-GAAP financial measures and the reconciliation of non-GAAP to GAAP financial metrics please see the second quarter 2014 financial results press release issued earlier today. On the call today from management are Tom Lacey, Chief Executive Officer; and Robert Andersen, Chief Financial Officer. I will now turn the call over to Tom Lacey. Tom?
Tom Lacey: John, thanks a lot. Whether live or via the webcast recording, thank you for joining us on the call today. Robert and I are very please to provide an update on our Q2 results, Q3 forecasts and our expectation for fiscal 2015 baseline recurring revenue. As you will hear from us we remain very positive on the developments in the company and remain optimistic about our future. Before I get into the details on the call, the high level message I hope you take away from the call is that after years of challenges and underperformance, the company is producing tangible results, delivering on our commitments and growing responsibly. We are very well positioned to move forward profitably. There were several important developments during the quarter, including: We exceeded virtually all financial metrics and delivered our second consecutive profitable quarter on both the GAAP and non-GAAP basis; our world class imaging group FotoNation delivered a second consecutive all time record revenue quarter; continued to lower non-litigation operating expense levels; we executed on our capital allocation strategy which employs several different vehicles to return cash to shareholders, a combination of dividends and share buybacks. During the quarter the board authorized $0.10 per share quarterly dividend and paid $0.52 per share episodic dividend for which the company paid a total of $32.4 million during the quarter. Additionally, as we did last quarter, we continued substantial share buybacks, again resulting in a lower share count for the second time in the company’s history. During the quarter, we bought back approximately 1.4 million shares for $31.1 million and during the last four quarters, we have purchased more than $74 million in Tessera stock. Innovation continues to be alive and well at Tessera we recently moved up approximately 50 spots on a ranking of 169 on Intellectual Property Owner’s Association’s list of top patent owners for 2013. This is our highest ranking since initially making the list in 2010. IPO’s prestigious list raised the top 300 companies based on the number of U.S. patents issued to them within the calendar year. The patent office granted Tessera substantial 178 patents in 2013, a vast majority of which were home grown patented inventions. The number of patents granted to Tessera in 2013 represents a 42.4% increase over the previous calendar year. All of these accomplishments continue to position the company well as we move into the second half of 2014 and beyond. Now some details on the many developments during the quarter. First of all, it is clear that our partnership approach with customers, striving for technical collaboration, using litigation only as a tool rather than a strategy continues to bear fruit. We have demonstrated an ability to reach fair value for fair value agreements including technical collaborations with multiple customers. We are extremely pleased to welcome Micron back to our impressive roster of licensees. As noted in our joint press release with Micron last week, our new agreement includes technical collaboration. This continues to be an important focus whereby we work collaboratively with our customers on our advanced packaging technologies including xFD, BVA and 3DIC as well as our FotoNation technologies. We have now re-licensed all three major DRAM manufacturers without resorting to litigation. This is very different from the last time the company faced licensing the DRAM industry, where we ended up spending millions and millions of dollars on litigation to secure licenses. Furthermore, over the past few quarters, we have also resolved several other matters including Qualcomm, ASE, PTI, Sony, Renaissance and ChipMOS. As I’ve stated before, our preferred approach is to form collaboratively partnerships with our customers instead of litigating unnecessarily. This approach is beneficial to both the company and our customers as it frees up management and employee time, money and resources for future investment and development that might otherwise have been diverted to litigation. For those of you, new to Tessera or perhaps as a reminder to others, in Q1 following the relicensing of Samsung, we announced that our recurring revenue in 2014 was projected to reach to $120 million. Last quarter following several additional settlements we announced that our recurring revenue for 2015 was projected to reach approximately $150 million, providing an excellent platform from which to continue our growth. Today we are pleased to announce a significant upward revision. We now project that 2015 recurring revenue, it currently stands at a $195 million. Turning now to our FotoNation business, we remain excited about the growth opportunities that we’re pursuing for this set of advance technologies. For those of you not familiar with FotoNation, it is comprised of world-class image scientists and advance mathematicians who specialize in important product and system-level imaging technologies. These technologies include computational imaging, face detection, blink detection, smile detection, face beautification, red eye reduction, video stabilization, panoramic photography, 3D content generation, fast focus, auto focus and other important imaging capabilities. Many of these features are simply must haves in the highly competitive market for mobile devices and our technology is world-class. As reflected in fact that our imaging technologies are standard on approximately 60% of high-end smartphones with our technology on more than a 0.5 billion smartphones worldwide. As I mentioned in my introduction, FotoNation delivered a second quarter consecutive record revenue quarter. During the quarter our FotoNation technologies and team continue to gain significant acceptance from leaders in the wireless handset. As a result of these continued positive developments we remain confident that this business will grow significantly in the coming years as our premium imaging technology is a key differentiator our end users in the mobile and adjacent markets. With the cell phone market design wins earned today can take up to 18 to 24 months to get into volume production especially when there is any semiconductor design component to the design win. We continue to make excellent progress with this business and we are working with the major players in the wireless market. Next I would -- like I've done in the past I would like to provide an update on our litigation activities where we're pleased to see our litigation activity is decreasing. As we have demonstrated consistently over the past year, when it's necessary for us to litigate we are laser-focused on our overall litigation spend, reaching fair value for fair value settlements when possible and obtaining excellent return on any litigation expenditures. First of all as I mentioned last quarter in the AMD consolidated cases in Northern District of California that involved certain tests for the patents that expired in 2010, we've already reached settlements with every defendant except SG Micron. These settlements have resulted in significant episodic and recurring revenue for Tessera. Our case against SG Micron was scheduled to trial in November of 2014. In our pending Amkor Arbitration during the quarter the International Court of Arbitration of the International Chamber of Commerce issued damages award in Tessera's favor of $113 million excluding interest. Interest is continuing to accrue while this award remains unpaid. Including interest and the approximately 20 million that Amkor previously paid the amount of the ICC awarded approximates our previous estimates Although, the ITC has now we issued its award Amkor has stated publically that it is not intend to pay the full amount. Consistent with these statements Amkor has attempted to challenge the ICC's damages award in court. As I've said before, I view this situation quite simply. And before the Tessera entered into a license agreement in 1996, which include an agreed upon dispute resolution process. At that time, both companies agreed that the dispute resolution process will be final and binding. Consistent with our agreement, Tessera has followed and continues to follow the ICC's rulings. We had hoped then Amkor would do the same, but Amkor challenges indicate that it does not intend to honor its promise to us that dispute resolution process will be final. We remain confident the Amkor's challenges to the ICC's award will ultimately be rejected and we continue to explore options for enforcing are rights. Separate from the award, we received in May, the ICC held the hearing in June on additional claims that we made against Amkor, alleging that Amkor has failed to pay royalties for choose of under Tessera patents. In accordance with the ICC's instructions, the parties are now engaged in post hearing proceedings, which may last for several months or longer. Our pending case against UTAC continues to proceed in the Northern District of California according to schedule set by the court, in complies with that schedule, we recently disclosed to UTAC, Taiwan our [intension] that products use more than tenant the patents we license to them. The court has set a claim construction hearing for January 2015, no trial date has yet been said. With that, what I’d like to do now is return the call over to Robert and address our financials and give us some good news and guidance I suspect.
Robert Andersen: You’ve given some of that. Thank you, Tom. As Tom described in his remarks, this is a strong quarter for the company and our financial results reflect this trend as we exceeded our initial forecast and posted a net profit on a GAAP basis. This outcome is not incidental as our entire management team focused on exceeding our forecast by creating opportunities for incremental revenue while prudently managing our expenses. With the overall strength of the business particularly from recently announced business relationships I expect to be describing a profitable and growing business going forward. Financial results for the second quarter of 2014 were as follows, total revenue from continuing operations was 37.2 million. Compared to the second quarter of 2013 revenue decreased by 9.4 million or 20% due to a net decrease in episodic payments of 17.6 million. However recurring revenue increased between the two periods by 8.1 million or 29% due primarily to the company’s expanded relationship with Samsung. Total GAAP operating expenses from continuing operations for the second quarter were 36.3 million a reduction of 15 million from the second quarter of 2013 due to significant reductions in SG&A and litigation expense. Compared to the first quarter of 2014 operating expenses were sequentially higher by 3.7 million, primarily due to increased spending on litigation matters from a timing perspective on Amkor, UTAC and the AMD case. The sequential increase is also driven by higher patent management cost for new assets, particularly those received in the settlement with Renesas. As we manage expenses going forward we will continue to look for ways to do things better and more efficiently, including continue to review our expenses related to the maintenance of our patent portfolio. The GAAP tax provision from continuing operations resulted in a benefit of 1.1 million. Given that the company currently has a valuation allowance in place for its deferred tax assets the estimated tax rate for the company is derived from a calculation affirm withholding taxes as percentage of revenue. Improved outlook on recurring revenue for the year had the effect of lowering the estimated annual tax rate as the year-to-date true up results in a net tax benefit for the quarter. As we move forward through the year, we will evaluate the valuation allowance on a country by country basis using GAAP guidance and we may reduce the allowance based on additional improvements on the business outlook. GAAP net income from continuing operations for the second quarter of 2014 was $2.5 million or $0.05 per share on both the basic and fully diluted basis. Turning to discontinued operations. For the second quarter of 2014 our discontinued operations generated a GAAP gain of [$1.3 million] or $0.02 per share on both the basic and diluted basis. The gain is the result of a year-to-date true-up on taxes for discontinued operations of $1.9 million as per the explanation of taxes provided earlier on continuing operations. The expense decline from the $13.3 million of reported in the second quarter of 2013 is due to fewer active businesses included in discontinued operations. We expect most of discontinued operations will be wind down by the end of the year. I'll now cover non-GAAP results. Total non-GAAP operating expenses from continuing operations in the second quarter of 2014 were $28.5 million as follows. R&D of $8.3 million, SG&A of $10 million and litigation expense of $10.2 million. There were no tax adjustments for the second quarter of 2014 for non-GAAP items. Non-GAAP net income from continuing operations for the second quarter of 2014 was $10.2 million or $0.19 per diluted common share. Non-GAAP results exclude discontinued operations, restructuring and other exist costs, stock based compensation, charges for acquired in-process research and development, acquired intangible amortization, impairment charges on long-lived assets and goodwill and related tax effects. We have included a detailed reconciliation between our GAAP and non-GAAP net income in both our earnings release and on our website for your reference. With regard to the balance sheet, we finished the second quarter of 2014 with $329.2 million in cash, cash equivalents and investments, a decrease of $49.8 million from the prior quarter, due primarily to the payment of $32.4 million in regular episodic dividends and the repurchase of $31.1 million of the company stock during the quarter. More specifically on June 25, 2014, $32.4 million was paid to stockholders of record as of June 4, 2014 for the quarterly dividend of $0.10 and the episodic dividend of $0.52 per share of common stock. During the second quarter of 2014, we repurchased 1.4 million shares pursuant to our stock repurchase program for an aggregate amount of $31.1 million. Our Board has authorized a total of a $150 million under the company's share repurchase plan, of which $65.4 million remains for future purchases. On July 28, 2014, the Board of Directors approved a regular quarterly dividend of $0.10 per common share payable on September 23, 2014 to shareholders of record on September 2, 2014. In terms of guidance, the company expects total revenue for the third quarter of 2014 to be between $92 million and $94 million, which include the significant episodic amount from the second installment payment of PTI settlement. Operating expenses are expected to be between $32 million and $33 million. Litigation expenses are expected to be sequentially lower compared with the second quarter of 2014. The company expects approximately $4.7 million of amortization of intangible assets and $3.2 million of stock-based compensation expense. The company also expects a loss from discontinued operations of $1 million. For the full year of 2014, the company expects total recovering revenue to be approximately $140 million; for the full year 2015 due to the recent signing of customer contracts as well as expected business growth. The company expects total recurring revenue to be approximately $195 million. With that I'll turn the call back over to Tom.
Tom Lacey: Thanks Robert. Before I turn the call over to Victoria for Q&A, let me provide our views on as I normally do, on patent legislation activities ongoing in Washington DC. As previously indicated, we've been working with a board collision of stakeholders and members of the Senate on the Patent Transparency and Improvements Act to ensure a proper balance between the needs to deter abusive litigation practices on the one hand and the preservation of U.S. patent system, the very cornerstone of the U.S. economy on the other. Senate judiciary committee chairman Leahy announced in late May at the committee which held the patent reform measure in recognition of the concerns raised that it would have unintended consequences on legitimate patent holders. We applaud Senator Leahy efforts and his wise decision to hold off in pursuing a bill that did not strike appropriate balance. More recently, representative Lee Terry of Nebraska and the Chairman of the House Energy, Commerce Committee, Subcommittee on Commerce Manufacturing and Trade proposed measure the targeting (inaudible) aka Troll Act to specifically address the problem of mass mailing of bad fake demand letters. We -- our fellow members of the Innovation Alliance and many other organizations including the Biotechnology Industry Organization, Intellectual Property Owners Association and the American Intellectual Property Law Association support this measure that is appropriately target to the abusive of conduct. We'll remain -- as we have been, we will remain actively involved into discussions with stakeholders throughout the IP and technology industry as well our members of the both the house and senate to refine when necessary and strengthen where possible the U.S. patent system for all patent holders. That concludes Robert and my prepared remarks. Before I turn the call over to Victoria, I would like to take this opportunity to remind everyone about our upcoming Investor Meeting Analyst Day September 5, 2014 in New York City. The meeting will feature presentations by Robert, myself as well as other Tessera operating executives. We haven’t done this in quite a number of years and we're excited to be able to provide a more detailed update on the company, not only the recent positive developments but also what we see moving forward. We hope to see you there. With that, let me turn the call over to Victoria.
Operator: (Operator Instructions). Your first question comes from the line of Krish Shankar of Bank of America.
Krish Sankar - Bank of America: Yes, hi. Can you hear me?
Tom Lacey: Hey Krish.
Robert Andersen: Yes, we can.
Krish Sankar - Bank of America: Hey, Tom and Robert. Hey, congrats on the good results. Good to see profitability again and couple of quick questions. First and foremost, in the June quarter, if it surpassed episodic revenue compared the original guidance was about $4 million in revenue upside, is it fair to assume that all came from the legacy IT microelectronic business versus FotoNation?
Robert Andersen: Yes Chris this is Robert, that’s certainly part of it, especially given Tom’s remarks on the very strong quarter from FotoNation. So that’s a piece of it, it’s just a combination of the business. So FotoNation was definite lead.
Krish Sankar - Bank of America: Got it. And then in terms of the guidance I know you guys don’t break it up always, but kind of get a sense of how much of episodic revenue component in your Q3 guidance or if you don’t want to break it up, is it fair to assume the recurring revenue growth from Q2 to Q3?
Tom Lacey: The only piece that is included in the guidance is the PCI settlement, since we know that in advance. And what we said on PCI is that, out of the total settlement of 196 million, we would receive over half of that by March 31, 2015 and I think you are aware that we raised our guidance by 50 million when we originally announced the deal for Q2. So I think give you enough points to triangulate roughly what it is for this quarter.
Krish Sankar - Bank of America: Got it alright, fair enough. And then two quick questions do you expect to get episodic revenue from Micron and if so would it be in the second half of this year or do you think it’s going to be next year?
Tom Lacey: For the Micron settlement actually it’s rather for the Micron license, I have to be clear on that it is a license, the arrangement does take into consideration the past with us not a piece of information that we are able to share is part of the deal, sorry about that.
Krish Sankar - Bank of America: Got it, no worries. And the final question how do you think about R&D as far as picking up kind of trying to get a sense of how to model R&D on a go forward basis And I know last year, Rick showed target model, I'm just trying to get a sense of is this still the model to go with?
Tom Lacey: Yes, we've targeted in terms of the operating model that I provided earlier this year. By Q4, we are expecting the R&D expense to be approximately 17% on revenue. And that was at our operating plan of $180 million to $200 million. And I think that percentage still holds true for, I mean we're certainly ahead of that given the revenue numbers in terms of being on a lower percentage. But I expect that's a reasonable percentage to apply going forward in the next year.
Krish Sankar - Bank of America: Got it, that's very helpful. And congratulations guys on the good results. Thank you.
Tom Lacey: Thank you Krish. Much appreciated.
Robert Andersen: Thank you sir.
Operator: Your next question comes from the line of Richard Shannon with Craig Hallum.
Richard Shannon - Craig Hallum: Hi, Tom and Rob. How are you guys doing?
Tom Lacey: Doing great. Thanks.
Robert Andersen: Hi Richard.
Richard Shannon - Craig Hallum: Good. I'll extend my congratulations as well, good results to see. A few questions from me. You raised your recurring revenue outlook here based on what you communicated last quarter and you have obviously signed a new license agreement with the sizable customers in that interim. Is there any other customers adding to the recurring revenue base or should we assume it's coming primarily almost entirely from Micron?
Tom Lacey: The lateral assume primarily obviously Micron. First of all, before I go there, Richard let me say publicly thank you for initiating coverage and welcome to the customer store. I have to tell you your timing is quite good. So, maybe you are a rabbit’s foot here for us. But in terms of increasing the guidance from $150 million to $195 million, clearly the major event that’s happened between the time we stated 150 and now we’re talking about 195 is the Micron patent license and xFD agreement, so it’s fair to assume that’s the bulk of it.
Richard Shannon - Craig Hallum: Okay. That’s fair enough. Maybe couple questions on FotoNation. First of all, do you expect the third quarter to be a record quarter as well and any update into the I think you previously communicated thoughts about seeing recurring revenues in that business of $15 million this year?
Tom Lacey: We don’t forecast that business going forward on a quarterly basis. In terms of the $15 million bogie that we talked about publicly in the year I mean we’re still well on that and continue to see excellent growth opportunities in that business. So, we’d expect to do much better than that next year.
Richard Shannon - Craig Hallum: Okay. Let’s see here, may be couple more questions from me. Related to your Micron license agreement announced last week, you talked also about collaborating on xFD can you give us an idea of our thoughts on when that, when you might see a unit based royalties coming out from that? And have you included anything like that in your current revenue base that you just gave us new one today?
Tom Lacey: Good question and that’s in particular we’re very excited about that elements as you saw in Mark Durcan’s quote and my quote we’re both really excited about collaborating together on technology that puts Micron, so it’s obviously in the Micron releases, it was in the Samsung releases, it was in the Qualcomm releases, it was in the ASU release, that’s really a key part of where we’re trying to take the company as much deeper collaboration with our partners. And obviously with Micron, part of the agreement was not just the patent license agreement but there is also as you noted a separate xFD technology engagement in addition to I think we referred to other technology, the intent is to work together. So except the portion of that would be contemplated in the license -- patent license agreement that we did reached with Micron. So as we report earnings moving forward, the Micron portion of it will capture the xFD portion of that.
Richard Shannon - Craig Hallum: Okay. I guess may be just top on head is there any timeframe which you expect to see those products ramped using xFD in the market and generating royalties for you?
Tom Lacey: Yes. So what we intend to do we talked about in the release is collaborate together. So given the agreement we signed last week you would expect that virtually immediately the two companies are working together to get that know-how license into Micron's hands so that production can ramp. In terms of -- I'll provide probably the next time we get together where we're at in terms of -- these things can take a quarter or two at a minimum to get into volume production would be my expectation.
Richard Shannon - Craig Hallum: Okay. I'll look forward to that update. Last question from me guys I'll jump on the line, again related to Micron. I know a lot of the details are highly confidential, but any sense that you can give us as to the timeframe of the license with them. I don't know if you compare to what -- relative to the other two large players or what you’ve seen in the past from the kind of three – the larger DRAM players any sense would be great to hear please?
Tom Lacey: Yes. I wish I could tell the exact timing. Obviously we know what it is, it's multiyear, it's multiyear and it's substantial and we're delighted with how this has come out. But unfortunately, Richard for a number of reasons I can't provide the exact link to the agreement.
Richard Shannon - Craig Hallum: That’s what I thought, but I thought I’d try. So I appreciate the thoughts (inaudible). Very happy to be on…..
Robert Andersen: You're not alone, don't worry.
Richard Shannon - Craig Hallum: Yes, I'm sure, I'm not. But thanks anyway for giving the best thoughts you can convey and also happy to be on-board here with you guys as well. Thanks a lot; all the question for me.
Tom Lacey: Alright. Thanks. Welcome to the team. Thank you.
Operator: (Operator Instructions). Your next question comes from Geoff Hulme with AMICI Capital.
Geoff Hulme - AMICI Capital : Yes, hi. Thanks to everybody…
Tom Lacey: Hey, Geoff.
Geoff Hulme - AMICI Capital : Hi Tom and Robert. Thanks to everyone for all the hard work, I appreciate it. So now that you’ve had some success with the primary objective, I was just curious if you could talk a little bit about how -- I guess a two part question, how you think the other part of the semiconductor industry relates to your core IP and the IP in Invensas? And maybe if you could just give us some idea of how you could -- the company could monetize its IP base and the non-DRAM semiconductor industry? And also I think last quarter you decided to officially keep a lot of the old DigitalOptics, now FotoNation imaging patents. I wonder if you could just maybe walk us through how you see monetizing those in the future?
Tom Lacey: Yes Geoff, thank you. Two quick questions and ones that we are focused on, laser focused on inside the company, it's all about growth. Now that we have as you mentioned some of these high priority items finally behind us as the company stabilized very profitable and we love where we're at. And so now it's all about continuing to focus. And I mentioned on the last call that we have reorganized the company and we reorganized around growth initiatives and you outlined two key ones here. So the first one is on the core IP business in Invensas, it’s really focusing on, on the mobile segment and these are the BVA and 3DIC technologies that we talk about. And who we would license those kinds of technologies to would be folks in the mobile ecosystem, whether it’d be the semiconductor players themselves, the contract manufacturers, the OSAP and it’s anybody who touches advanced packaging technology in the mobile semiconductor or adjacent areas. So that’s the first one. We think there is an excellent opportunity to further monetize the Invensas IP, I’d say further monetizes because it’s a key part of the agreements we signed including the one we signed last week with Micron, right. The other thing that this speaks to, as I mentioned with Richard is us really collaborating and with the likes of a Qualcomm or Samsung and ASC or a Micron, that’s a key part of what we do. And N number of these folks that I just mentioned, arguably all of them have a participation in this mobile space. And around the second part of your question, DigitalOptics FotoNation assets, what are we going to do with those assets, obviously continuing to try to grow this FotoNation business in its own way. It’s really front center of the biggest opportunity we see with those assets. And what we are doing in demonstrating and beginning to see some success is drive our per unit royalties to a higher rate because it includes not just world class imaging technology but also includes patent license assets to the technology as well. So that’s a business again, two record quarters in a row is executing well, pretty bullish on it. Although some of these things take a little bit longer, once you get a design win, it may take some time before it comes into fruition, but all in all that team in particular is executing quite well for us. Thanks for the question.
Unidentified Analyst: Okay. Thank you.
Tom Lacey: Thanks.
Operator: (Operator Instructions). And there are currently no further phone questions.
Tom Lacey: Okay. Hey Victoria, thank you. So, in summary again thanks everybody for your interest in Tessera. We really do appreciate you spending the time either live with us now or if you are listening to this in recorded fashion. We come a long way over the recent past and we are proud of progress we've made and we continue to focus on really growing our partnerships and as importantly growing our revenues, our efforts to rightsize the company, cost structure together with our partnership style approach with customers, absolutely yielding tangible bottom results, we're thrilled about that. We have improved our internal communication with our employee team as well and we continue to strive to be as transparent as possible with external audiences. In summary, we're very optimistic about our future and again Robert and I hope to see many of you in New York at September 5th Analyst Day. Thank you very much.
Operator: Again, thank you for your participation. This conclude today's call. And you may now disconnect.